Operator: Good afternoon, ladies and gentlemen, and welcome to the Wrap Technologies Fourth Quarter and Full Year 2019 Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded. Before we get started, we’ll be referring to the press release file today which details the company's fourth quarter full year 2019 results and can be downloaded from the company's Events and Presentation page at www.wraptechnologies.com. Finally, a recording of the call will be available on the same Events and Presentations section of the company's website later this evening. Please be aware that some of the comments made during this call may include forward-looking statements within the meaning of the Federal Securities Laws. Statements about the company's beliefs and expectations, containing words such as may, will, could, believe, expect, anticipate, and similar expressions constitute forward-looking statements. These statements involve risk and uncertainties regarding the company's operations and future results that could – that cause Wrap Technologies results to differ materially from the management's current expectations. The company encourages you to review the Safe Harbor statements and risk factors contained in today's press release, and the company's filings with the Securities and Exchange Commission, including without limitation, the company's most recent annual report on the 10-K and other periodic reports, which identify specific risk factors that may cause actual results or events to differ materially from the described and forward-looking statements. The company does not undertake publicly update or revise any forward-looking statements after the date of this conference call. The company also notes that on this call, they will be discussing certain non-GAAP operational metrics, such as backlog, number of trainers, agencies, and distributors. The company is providing that information as a supplement to information prepared in accordance with accounting principles generally accepted in the United States or GAAP. And now, I'll turn the call over to David Norris, the company's Chief Executive Officer. Sir, please proceed.
David Norris: Thank you, Justin, and thank you everyone for joining us today. After the market closed, we issued our fourth quarter and full year results for the period ended December 31, 2019. A copy of which is available on the investor page on our webpage, www.wraptechnologies.com. We'll start out by turning the call over to Jim Barnes, our CFO.
Jim Barnes: Thank you, David, and good afternoon everyone. Our detailed operating results are set forth in the press release filed today and our annual report on Form 10-K also filed today. As a reminder, we are still in the early stage of addressing a large worldwide mark – market for our remote restraint products and accessories. Fourth quarter revenues increased from a mix of agency distributor and international order fulfillment. Revenues were $251,000 for the fourth quarter 2019 compared to $21,000 in the fourth quarter of 2018. For the full year ended December 31, 2019, revenues were $697,000 compared to revenues of $23,000 in 2018. At the end of Q4 2019, we had 344,000 of customer deposits and a backlog of orders of approximately 1.7 million, expected to be delivered over the next 12 months. As a reminder distributor and customer orders for future deliveries are generally subject to modification, rescheduling or in some instances cancellation in the normal course of business. We do not have enough insight into the timing and the nature of large international and domestic orders to determine exactly how periodic backlog will relate to future revenues. Gross profit margin was 34% for the fourth quarter 2019 compared to 20% in the fourth quarter of 2018. For the full year 2019, gross profit margin was 39.7% compared to 19.6% in 2018. We rely on direct and distributor sales, both domestically and internationally, and changes in sales channel mix can significantly impact product margins. Other factors impact margins including product updates, raw material and component changes and warranty costs. Due to the startup nature of our sales and production activities, we do not believe historical margins should be relied upon as an indicator of future margins. The recent move to our larger facility in Tempe, Arizona may also impact margins, again, dependent on volume and mix. SG&A costs for the fourth quarter of 2019 were $2.1 million compared to $1 million during the year ago quarter. SG&A costs for the full year ended December 31, 2019 were $6.7 million compared to $2.6 million for the prior year. For both the quarter and the year, the increase in SG&A is predominantly due to planned expansions in sales, training and other activities to support future growth. In the near-term, we expect to expend additional resources on the marketing and selling of our products, training distributors and customers and supporting our domestic and international operations. R&D costs for the fourth quarter 2019 were $616,000 compared to $277,000 during the year ago quarter. Research and development costs for the full year ended December 31, 2019 were $2.2 million compared to $735,000 in the prior year. We expect our R&D costs will continue to vary depending on specific research projects and levels of internal and external staffing. The GAAP net loss for the fourth quarter of 2019 was $2.5 million, or $0.09 per share compared to $1.3 million or $0.05 per share during the prior year's fourth quarter. Net loss for the full year 2019 was $8.3 million, or $0.29 per share, compared to $3.3 million, or $0.14 per share, for the prior year. The net loss for each year included approximately $1.5 million and $513,000 respectively of non-cash stock based compensation expenses. We ended the fourth quarter 2019 with $17 million in cash and cash equivalents, which compares to cash and cash equivalents of $12.4 million at the end of 2018. Working capital as of December 31, 2019 was $18.6 million. We have minimal debt and stockholders' equity was $19.2 million at year end. For a more detailed analysis of our financial results, please reference our Form 10-K filed earlier today. David, back over to you.
David Norris: Thank you, Jim. 2019 was a banner year for Wrap and that marked businesses transitioned from a developmental stage of the product into an actual growth phase. In 2018 much of our focus was on research and development and refining our product to ensure it was commercially viable. However, in March or a May 2019 with our product ready for market and much of the necessary infrastructure in place, we transitioned our business to focus on sales and strategically positioned the company to capitalize on the large market opportunities ahead of us. As those of you who have followed our story, will be readily aware, we made substantial operational progress during 2019, which has begun to be reflected in our improved revenue performance and which I'd like to provide an overview of today. At the end of Q1, Tom Smith, who's on the call with us today and will be speaking next, joined our team as President. Many of you are familiar with his background as a Co-Founder and former President of TASER and why he is uniquely qualified to lead our sales initiative. Since joining the company, he has done an amazing job scaling both our domestic and international sales, which should be evident for the uptick in – from the uptick in revenues, order volume and the $1.7 million backlog that we built up by the end of the year. With a very strong management team and great leaders in place, we then opened our 11,000 square foot manufacturing facility on Tempe, Arizona. By consolidating our manufacturing into a single location, we're able to operate more efficiently and we're able to more effectively scale to meet market demand. Currently, our facility is operating at about 225 device capacity a week and about 1,800 cartridges per week. At full scale with all of our lines running, we can build 54,000 cartridges a year and 324,000 – or actually, sorry about, 54,000 devices a year, 324,000 cartridges a year before we would need to move to a new facility. That also will be increasing as we develop – devote engineering talent and our manufacturing team makes the line more efficient. So we'll only see these numbers improved. As more agencies become aware of BolaWrap and its unique ability to fill a critical gap, these increased volumes will be able to achieve through these efficiencies in this investment in manufacturing and operations. Also, we made the decision on 2019 to pursue a distributor model as our primary go-to-market strategy. By leveraging distributors, we're able to target a much broader customer base much more quickly. We're also able to keep our internal costs lower and our organization more flexible. So far, this has proved to be an effective strategy for us as evidenced by the increasing revenues relative to 2018 and the contract momentum we generated in the second half of 2019, which has carried us to the start of 2020. I'm going to let Tom fill you in on some of the details here. But before I do, I'd like to focus on some other factors that have contributed to our recent success. That is our brand strategy. It's hard to underestimate the impact of a successful brand awareness campaign and what it can have on our sales growth. In our industry and for our product, there's no better evangelists than the line level officer, who has had the opportunity to use the BolaWrap in the field because then they immediately get it. They are the ones who everyday deal with the gap, we're trying to fill. So the more we can do to educate the public and the broader law enforcement community on our product and its viability, the more will drive our top line growth. And in 2019, we began to see tangible evidence of this strategy gaining traction. BolaWrap features aired across national and international television networks more than 1,000 times in 2019. The product was featured on networks such as CNN, BBC World News, FOX News, CBS, USA Today, FOX Business, Yahoo Finance, Business Insider and many other major networks. Additionally, we generated tens of millions of views across multiple social media platforms, including Facebook, Instagram, LinkedIn, Twitter, YouTube, and Snapchat. In large part due to the buzz created from successful marketing campaigns, we've now demonstrated the BolaWrap to over 490 law enforcement agencies to-date across the country. When I say demonstrated, I mean, our actual people that have done demonstration. This is report and this is not only resulted in hundreds of media reports, but over 1,900 inquiries from domestic and international prospects in 2019. Maybe it's an excellent means of introducing our new – our product to new audiences but at the end of the day, officers need to actually use the BolaWrap to see it in action, to become customers and ultimately advocates. Therefore, we've also doubled the number of BolaWrap Master Instructors since the third quarter of 2019. As a reminder, a master instructor teaches the seminars at which they train line level officers. At the end of these seminars, these line level officers become BolaWrap instructors who then go back to their department to train their colleagues. So while we may run a lean internal sales team at Wrap, the reality is that each officer who has received training from us to become an instructor functions as an advocate for our company and the broader adoption of BolaWrap. During 2019, we conducted 53 Train the Trainer courses in 26 states. To-date, we've added 50 BolaWrap Master Instructors and the total number of officers certified as BolaWrap instructors, who are qualified to train their departments increased over 520. As a result of our marketing and training initiatives, we've also noticed material shift in the type of conversations were happening at trade shows. In 2018, we're spending a great deal of time at industry events explaining the product in the need for high level prospects and peers. 2019, we mostly had people coming to us. Regardless of whether we're at Milipol, IACP, or any other industry event, the conversations were much more advanced and questions more nuance. Suffice it to say, more and more people understand who we are, what we do and why our solutions are critical to improving the efficacy of law enforcement and the safety of our communities. We're extremely pleased with the changing sentiment we've seen as a result of our marketing initiatives. But at the end of the day, these initiatives need to drive sales. So to provide an overview of how we're leveraging our operational progress to convert prospects into partners, I'm going to turn the call over to Tom Smith, our President.
Tom Smith: Thanks David. Good afternoon everyone. As David mentioned, last May, we came out with our production-ready product and started really focusing in the market to get the sales started for the company. To insist with that endeavor, we had added a distribution model to our business for a variety of reasons as David touched on. In 2018, our sales came directly from the management team, led primarily by Mike Rothans and Don De Lucca. And by having the distributors now on board, focusing on doing those demonstrations as well, that management team and Mike and Don can really focus on the major agencies, the influential agencies. And agencies that we deem as strategic areas and locations and yet much more refined in how we're presenting the models. We've also seen an exponential increase in the demonstrations and exposures, two law enforcement agencies now that we're working with the distributors and one of the big factors distributors have for us is the relationship that they already have with buyers. They are in the business of selling and they're partnering with us on the opportunities that they'll have to grow their business in addition to ours through these existing relationships. I can comment on my previous experience with only a handful of salespeople to using a distribution model, the sales was able to grow to over $1 million. So without a lot of increase in direct costs, we were able to really exponentially increase the sales volumes through a distributor model. Since launching this strategy last summer, we've signed agreements with 11 domestic and 16 international law enforcement distributors that cover 45 states in 26 countries. And within the first two months of implementing this strategy, we received our first large international distributor order, which was valued at over $1 million. And as we have discussed before, we do expect that our initial large orders to come from the overseas markets where typically departments are more centralized and much larger. So here in the United States, we have 18,000 to 20,000 different agencies. That means 18,000 to 20,000 decision makers where when you go overseas, it's much more centralized to just a handful of decision makers representing at least that many officers. As a result, the sales cycle is longer and more complex, but the average dollar value of each contract is about much larger opportunity. The international market continues to hold great potential for the BolaWrap because in many countries, officers have fewer tools at their disposals than their U.S. counterparts. In the United States, many officers carry a baton, pepper spray, a taser or a firearm. While none of these are substitutes for Wrap’s ability to restrain someone from a distance without causing harm. They are options. However, in many countries, line level officers are not authorized to carry firearms or other tools and they're usually having to do their jobs by just hands on restraint and taking someone into custody. Therefore, many countries are looking desperately for our kind of a device, a remote restraint solution that enables them to establish compliance early in that confrontation before escalates requiring a heavier level of force. And the BolaWrap is the only tool that allows someone to be restrained without pain compliance compared to all the other devices and technology available to them. That being said, international agencies tend to look to the U.S. and follow suit. So to expedite these international sales processes, it's important to first prove the viability of our products here in the United States. We are seeing an increase in the actual number of field uses. And that's obviously the best news for us because we've conceptually talked about it for years. We saw it in the prototypes. We've done numerous, numerous demonstrations, but now that the BolaWraps are getting into the hands of the line level officers, the guys that are walking the beat and we're starting to see an increase in the number of uses just really proves out the model and where we believe the tool is. The other thing that we've also noticed is we kind of started from a flat start last year without agencies being aware of a remote restraint device or having budgets set aside to spend the money to buy this. So if you look at the sales increases that we've had, I'm very excited about that. The budgets in the larger agencies obviously take a lot longer and the smaller agencies can react much quicker. Therefore, we're continuing to focus on selling to those smaller domestic law enforcement agencies, which have less than a hundred officers. And that's really where the distributors add a huge help for us to have contact with those size agencies. This has been and will probably remain our bread and butter in the short-term as the larger agencies will take time to go through T&E, that's test and evaluation processes as well as get their budgets aligned to purchase our equipment. Through our distribution partners, we've been able to accelerate the sales by targeting these agencies more efficiently. And since partnering with distributors, we've seen that increased number of quotes and orders from smaller agencies, who are now coming forward and purchasing our products. As an example, in the past where people used to come to our demonstrations to learn about the product, we now have seen a transition where actually some of the agencies are showing up at our demos with a purchase order in hand. As a result, we were able to build $1.7 million backlog by the end of 2019. And today, we've already delivered product to more than 180 law enforcement agencies and 20 distributors for demonstrations, testing and evaluations. As we shifted into 2020, we saw much of this momentum continue through the start of the year. In January of 2020, we received an international purchase order for 200 BolaWraps and 2,000 cartridges that had been worked on for many months and finally came to fruition. Given our ongoing discussions with prospects, we’re optimistic that we're going to be able to continue building momentum throughout 2020. And before I turn the call back over to David, I'd like to briefly touch on one of the highlights from our fourth quarter. During the fourth quarter, the Los Angeles Police Department announced they would be conducting field testing with the BolaWrap. LAPD is the epitome of forward thinking police departments and the third largest in the country. They're constantly evaluating and testing new technology and they're notoriously diligent, and particular in any technology that they're going to implement. Therefore, we're extremely encouraged by the positive reviews they've given the BolaWrap to date. And for perspective the BolaWrap is the first tool from a restraint system that they considered since adopting the TASER, which was nearly 20 years ago. And actually they had an even prior to that, but it's obviously been a long, long time since they've had any new tool. LAPD began field testing our product with hundreds of officers across LA County in early February of this year and we intend to share progress updates on this with this from the department as they materialize, but please bear in mind because they're large, it is going to take time. This is a very large agency to decision making processes, therefore much longer than it would be for a smaller department. However, that doesn't mean that the opportunity is much, much larger and we look forward to supporting them throughout their evaluations where we can. And one final comments on the quarter, already this quarter, it's going to be our best quarter to date and I look forward to talking to you in another month or so about the results of our first quarter of 2020. And with that, I'll turn the call back over to David.
David Norris: Thank you, Tom. As evidenced by the contract momentum and the improvement on our financial performance from 2018 to 2019, we're clearly making progress in the business and moving in the right direction. But as we all know, past performance does not necessarily beget future success. So before we open the call to questions, I'd like to take a few moments just speak about our expectations for 2020. As you're all aware, the second order effects of COVID-19 collegially referred to as a coronavirus have had a material impact on supply chain to markets worldwide. We like everyone have felt the effects, but they have been very minimal for our business. The primary challenges that have arisen from our perspective are more logistical rather than operational with less international travel and lighter international commerce attendances we have a few additional hurdles to clear to sell internationally. But at the end of the day, the need hasn't changed and the opportunity remains intact. Operationally, we don't see any negative impacts to our business. Consolidating our manufacturing into the Tempe facility was incredibly timely. Today, most of the parts that we meant – that we received are all manufactured within the U.S., the only piece that really is a standout is the laser diode, which is manufactured in Germany. And we have placed the forward supply order and have inventory to suffice for this year's order. So we do not expect the coronavirus to have any material cost increases due to kind of current macro events. We do, however, anticipate continuing to scale our business to capitalize on the opportunities ahead of us and the opportunity remains vast. For us the primary difference between 2018, 2019 and 2020 is that we’re much better positioned now than we were even a year ago. We have a commercially viable product. We have a robust but expanding network of distributors ready to help drive our product to market. We have a solid brand that is only getting stronger. We're generating momentum for high volume and high profiled demonstrations, which are converting into orders. And as a result, we started the year with $1.7 million backlog, which we're working to expand. So, ultimately, we're confident that we're entering 2020 in a strong position to deliver continued growth. We look forward to continuing our work to make police officer more effective and all of us safer. With that, I'd like to turn the call over to the operator and questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Greg Gibas from Northland Securities. Your line is now open.
Greg Gibas: Good afternoon guys. Thanks for taking my questions and nice to see the progress that you've made this quarter.
David Norris: Thank you.
Jim Barnes: Thanks, Greg.
Greg Gibas: I guess first of all with the current backlog, I guess as we think about that, the 1.7 million, which you said is going to be recognized in 2020. How should we think about the timing of that? I know you said it's difficult, but when we think about that on maybe a quarterly basis, when should that be realized?
Tom Smith: Hey, Greg. It’s Tom. So I would say if you kind of look at that that a fair number of those are some of the international orders. So I would say it's going to be spread over the next couple of three quarters. In terms of timing, it's yet to remain how much coronavirus is going to impact that in terms of the government response for that. But I would say in terms of timing, over the next one to three quarters would be a good marker.
Greg Gibas: Great. That's super helpful. And then now that you've made quite a bit of progress just expanding the distribution network. What are kind of your top priorities with respect to how you're going to continue to expand that channel? I mean, I think you're in 11 distributors in the U.S., 16 internationally. I guess do you have any goals as to where you’d like these numbers to be going forward?
Tom Smith: Well, obviously, in the U.S. we've just got five more States we need to get covered. So now it's really just tightening up the relationships with the distributors as they get out there and they're doing their demonstrations. Internationally with the 26th centuries we've got covered that will obviously expand as we go forward, but we want to focus our efforts to make those current distributors in those countries successful. Because again, there'll be forethought leaders in other countries in their region because we do have distributors pretty much on the Africa and South America, Asia. So we've got the world covered and they’re the countries that are going to be looked at as people that are going to be progressive. So, we did the Milipol trade show. David and I went over there with four or five of our staffs and the booth has just swamped. So there's a huge interest, a huge need for this technology. So we want to make sure that we're having the sales revenue numbers grow as we're expanding this distribution model and just making that more efficient and more up to speed. So, the distributors, they're not 100% focused on this like our team is with Mike, Don, Roe, Stacie, Jose, the whole group. We're living and breathing every day for this. So we're making sure that the distributors are getting the follow-up in place that all of the communications are connecting with the customers. We're establishing those relationships. So it's not so much the numbers that we're going to look for increasing. It's the sales revenue numbers that we're going to increase through the distribution model and then internationally making the current ones that we have a success because obviously they're the ones as I mentioned that are going to be the leaders there.
David Norris: All sales ultimately have to start with the demonstration because the, the law enforcement agency needs to be able to see the product before they can buy the product. Currently, our team led by Mike Rothans is doing probably 10 to 15 demonstrations a month and usually there's a three to seven departments of 10. Those demonstrations at one time, we really focus their energies on major and strategic departments. With their – on top of their, let’s say, 10 to 15 a month, we’re probably adding another hundred demonstrations a month that the distributors they're able to do as well. So it's really just starting that sales process. It starts out with a demonstration of the product. It also explains that why the product helps them to position, understand the need. And so that it – without them it would be very hard to tackle on 18,000 department country like the U.S. let alone the international support we get from distribution.
Tom Smith: And that ties back into our training. We got our training processes done with the learning management system in place to really synthesize the information we're sharing to the officers and to the instructors, so that different policies can be shared. The different experiences that the training that's standardized is being delivered, and so it's really kind of rolling everybody together from the sales operations with the distributors, the demos, the trainings and in string it is smooth process for the departments.
Greg Gibas: Got it. That makes a lot of sense and that's good to hear. I appreciate all that detail. I guess you talked about this on the call already, but you said it's going to be a long process, but is there anything you can really provide us with how talks are going with the LAPD? Just regarding them furthering the BolaWrap deployment, just giving their – I think they're still doing the field trials right now.
David Norris: Yes. There's been there – clearly, they've experienced the product. They're seeing how the product works. They've gone through significant training. I have no exact numbers, but about 1,100 officers, they have 200 devices, but we need to wait for them to come back with the official results of that test.
Greg Gibas: Got it. Thanks guys.
David Norris: You're welcome.
Operator: Thank you. And our next question comes from Jon Hickman from Ladenburg Thalmann. Your line is now open.
David Norris: Hey, John. How are you doing?
Jon Hickman: I'm good. Hey, my question, if you could – I want to circle back on the LA test. Can you tell me what kind of stats or information that the department is looking for to decide if this is going to be like purchased or not? Like do they want officers saying, oh, this is a great tool, I use it all the time. I mean, what are they – what’s the formal information are they looking to come back with? Could you share that?
David Norris: I think that's a great question. Actually, when Chief Moore led us Wrap and live on television, one of the reporters asked him that exact same question said, you know, how are you going to be evaluating this thing? He says, at the end of the day, if my officers are using it, then this is the tool that what we're going to want to have. So they clearly see the value of it because they put tremendous resources into putting it out into the field. And I'm sure there's going to be more quantitative measures as we move forward as wraps occur, right. We – they share those incidences with us, so that we can all learn together. And but ultimately they're – the officer is going to want to want the tool. We talked two calls ago that we needed to be able to move the devices that are out in the field from the supervisor, from the SWAT officer to more the first responder line level officer, LAPD and a couple other departments, now we've had the opportunity to have that happen and that has significantly increased the number of actual wraps we are getting and we've learned a lot and to our understanding things are going extremely well.
Jon Hickman: Could you – they have 200 devices right to two?
David Norris: Correct.
Jon Hickman: Could you tell me how many – do you – how many cartridges did you shipped initially?
David Norris: I believe for training and everything it was 3,600 or something total cartridges, but I'd have to get you the number exactly offline…
Jon Hickman: Okay, but…
David Norris: They trained roughly at thousand officers with a couple of cartridges each there and then they had some the other cartridges were for the field deployments.
Jon Hickman: So you're hoping that you get some reorders fast, is that what you're hoping…
David Norris: These are important.
Jon Hickman: Yes.
David Norris: And as while we're making I think tremendous progress, every time the devices used, we learned something. Now, a big plus for us is what we're learning has not been that we need to go make modifications to the product. The product seems to be working extremely well, but we're definitely having learnings around a holster option, so how to improve how an officer carries it, making it more readily available for them. So it's – this has been very healthy for us. This is definitely the next step. We went from kind of developing the product alongside law enforcement taking their feedback, incorporating it and making a commercialized product, doing demonstrations, then doing training, then going through the test phase and that'll be delivered in the field. They're mostly SWAT and supervisors. Now, we're at the line level and we're learning a lot and a lot of that's very, very positive and the [indiscernible] engaged. It also allows us to make sure that we're continually following up with our customer service and engaging with departments.
Tom Smith: And if I can elaborate on that, this is not unlike what I went through 20 years ago when we came out with our first product, the TASER M26. It was a large device, but the officers weren't carrying it on their person. They were carrying them in their trunk or they were waiting for a supervisor to show up with them. Whereas in the case here, as David mentioned, whole string is a key, key part of the success of the device, so that the officers have a way to conveniently carry it with them, with all the other tools that they have. So that's obviously a focus for us is making sure that it's on the officers, so they can use it early in that intervention before it requires a higher level of force because if the tool is not there, they most – almost every time they aren't going to have the opportunity to go back to a car or go somewhere and get it and bring it back to them. So that's one of the things we're really focused on right now. And some of the agencies, for example, their mandatory policy and their trial is to carry it and some are leaving it to seal to the discretion of the officer. So we're doing everything we can to make it easy and convenient to carry and get it on the officers, so that it's available as many opportunities as possible to get those field uses, so that the command staffs can have data to look at.
Jon Hickman: Okay. And then I have one financial question. Could you tell us anything about warrants conversion on the $5 warrants because the stock price was well above the actual period of time?
David Norris: I'm just really glad somebody finally asked Jim a call or a question 
Jon Hickman: Okay.
David Norris: Hang on, just flipping through some paperwork here real quick here.
Jon Hickman: Okay.
Jim Barnes: Yes. Since year end, we've had over $600,000 worth of warrants that's reported in the 10-K. So we have seen some warrants exercised in the first couple months of 2020. So that's a number that we've reported. And the future exercises will be based upon the stock price and shareholder activity, I guess.
Jon Hickman: So those $5 warrants expire in June, right?
Jim Barnes: In October.
Jon Hickman: In October? Okay.
Jim Barnes: Correct.
Jon Hickman: Thank you. That's it for me.
David Norris: Thanks, Jon.
Jim Barnes: Thanks.
Jon Hickman: Okay.
Operator: Thank you. And our next question comes from Jim McIlree with Bradley Woods. Your line is now open.
Jim McIlree: Yes, thank you, and good afternoon. Can you share with us how many certified trainers you expect to have by the end of this year?
Tom Smith: By the end of this year, it'll – it – we got to over what, 500 instructors this year. So we'll – it'll be in the thousands this year. And again, that's really going to relate to the number of agencies adopting and expanding the use, the 50 master instructors are where we wanted to get to because that's going to carry us to be able to get to those numbers. And actually the number of instructors continues to increase, but that'll be just directly proportional to the number of agencies implementing the product.
Jim McIlree: Got it.
David Norris: And on top of that Tom's answer I think it was domestic and international both of this number and I can fill the whole group here how impressed I am with the level, the caliber of our master instructors. We just – we've truly got the APM here and it's been amazing.
Jim McIlree: And the number of master instructors is expected to grow this year? Or is that you're satisfied with where you are?
David Norris: No, I'm satisfied with where we're at. And the master instructors kind of if you look at it from a level, so the master instructors, we have 50 of them. They can go out and train, do the, what we call the Train the Trainer course. It's a five-hour course for the instructors. And at that point that, the agency may have one or two instructors per department to train and implement the product. So with those 50 master instructors we have more – we have plenty of coverage domestically and for sure on doing the Train the Trainer programs. And then as the international market starts to increase, again, because of the consolidation of the way that training departments work overseas, we won't need a big increase in the number of master instructors to train the trainers. But you'll see thousands of instructors over time coming from that master instructor base of 50, that's not going to really grow too much.
Jim McIlree: Got it. Okay. Thank you. The 26 countries that you cover internationally, can you give us an estimate of how many law enforcement officers are in those 26 countries?
David Norris: I can't break that number down, but what I can tell you is like in the U.S., there's roughly 800,000 to 1 million just in ballpark law enforcement, depending on fluctuation. Internationally, it's 12 million law enforcement officers worldwide. So the 26 countries that we have right now are obviously the – I would call them the larger countries at the moment. The one country that we continually do get asked about is China. That's a country that our Department of Commerce will not allow, not only us but any police products to be sold to. So if you take that one out of the map and look at kind of the other major players out there, it's a huge country as an example, one of the 26 represents a one-third of the officers here in the United States. So the opportunity when you add those 26 together is obviously much larger than the U.S. in proportion. And again, it's a 12x number in total officers worldwide versus U.S.
Jim McIlree: Okay. Two more if I might. Is there any change on the pricing strategy for either the cartridges or the devices?
David Norris: No, we have not had an impact on our costs or anything. So we're just focusing on in product improvements for margins increase in the pricing, the costing on the pricing is not changing.
Jim McIlree: All right. And Jim, in your commentary, you talked about SG&A increasing in this year. Can you ballpark that, are we talking about an increase that's driven by sales increases or is it proceeding sales increases, it’s just a kind of a – just looking for kind of a back of the envelope. What it’s like get to for the year?
Jim Barnes: Yes, it's not a big increase in the sum of the fixed costs, it will be more if we have to train a lot more departments, you'll have the variable costs of travel and so forth. So we're not looking for huge increases in SG&A other than driven by activity. So that's the primary focus.
Jim McIlree: Understood. Okay. That's it for me. Thanks a lot. Good luck with everything.
Jim Barnes: Thank you.
David Norris: I appreciate it.
Operator: And thank you. [Operator Instructions] And our next question comes from Rich Abbe from Iroquois. Your line is now open.
Rich Abbe: Thank you. Congratulations, David and Tom. Great successful year.
David Norris: Thank you, Rich Abbe.
Rich Abbe: Let me ask you guys a question. How do you determine success with the – in the field, with deployment? How successful have deployments been today in the field or to be treasury in the field and how do you face success is it based on the successful Wrap? Is it based on just the escalation? But how would you – how do you look at that today and what kind of data do you have to back that up of saying whether it's being deployed in the field currently?
David Norris: Yes. So a great question. And that's one that's always debated within the law enforcement community. So the way we look at success in the field is if the tool, the BolaWrap is used, did it prevent a higher level of force being required to end the confrontation for the officer. So that's kind of like a benchmark. So if the device came out and it was used and it didn't require a higher level of force, that's a successful use of the product. And to give you an example just because I was over there last week in the United Kingdom, they just published annually and they do track all of their support. So they had, I think it was over 400,000 – actually over 600,000 incidents of people being arrested in a one-year span, 400,000 of those required a use of force. And then they break down those use of force model. So if we look at there as an example, their taser use, they had, I think it was 24,000 documented uses in that one-year span, 85% of those gained compliance for what they consider a success without ever even having to deploy it. Meaning they just pulled it out of the holster, put the red dot on somebody and they complied without ever having to deploy the device. So they were considering that as success because it didn't require, in that case the use of force. So with BolaWrap, just the fact that we're a remote restraint device, which by the way that was nearly 80% I think of the use of force in the UK was restraint device or restraint techniques. So we're going to fit into that much broader category in terms of the use of force. So we talk in our demos about this being throwing handcuffs on someone from a distance. The earlier implementation and use of this again prevent that escalation of a higher level of force being used means that was a successful use because you didn't have to use a pain compliance tool to end that confrontation and take someone into custody.
Jim Barnes: Also and clearly, this is not an exact science, but we look at all of the reports even down to a department level and try and get an idea of how often is everything besides the guns, all the less lethal tools to use, whether it be pepper spray in ASP, taser or any other products. And then we look at how many of those are actually deployed out in the field. And then how many users do they actually get, just kind of get a benchmark of, is our product that's in the field today getting used more or less than other products in the field. Today, our product seems to be useful, seem to be on par with the most used other non-lethal tools that are out there today.  Some things that we've got against it, as we are a brand new tool, we spoke to one officer, he wrapped the arms and he says, you know that worked but the legs probably would have been better. The response would [indiscernible] was pretty amped up though when I did it. So it's a new tool. They're getting used to it. They're getting comfortable with it. The other side of that is because it's a new and exciting tool and it’s so easy to use, was so easy to aim. Maybe they're using it more than they would. So right now the number is based on every other product that they have on their belt, seems to be looking in our favor and we'll learn more over time.
Rich Abbe: I appreciate that. Thank you both. Did you know LAPD, who's been rolling it out, do you know if they look at it the same way that the UK does? So if Tom, if you were to pull it out and pointed at someone in a situation and that individual listens to this voice and drops his weapon or does whatever they're asking him to do, would that be considered a successful use or would that be – are they going to or is LAPD looking at it from successful usage of actual Wrap?
Tom Smith: They're looking at it as successful use but it ended the confrontation without a higher level of force being used. And I think that's the vast majority of agencies out there. We're obviously going to be more self-critical on ourselves compared to everyone else. But that's ultimately the end of the day. If that tool was the only tool that had to be used and it ended that confrontation without any other tool or force having to be used then that was a successful outcome.
Rich Abbe: And you guys are attracting that internally as well?
Tom Smith: As much as we can.
Jim Barnes: Whenever we get the data but…
Rich Abbe: Do they give you…
Jim Barnes: Every department that's gone from buying a couple of devices to fully outfitting their department, not one of them today is actually had a physical Wrap, but they loved the product because when they put the line on somebody, it's actually giving them encouragement and actually did what they wanted them to do. So it's clearly departments are still making buying decisions on the de-escalation rather than the act of the Wrap itself. But for us, we're very focused on the Wrap internally because we need that to work at a very, very high rate.
Rich Abbe: One more question and I'll let you guys go. Is LAPD giving you the actual data on the Wrap’s as they use them or they just – is it only kept getting public based on individuals using their cell phones? Will they show you a video of all if something happens but there's been no individuals around to video it or are they keeping that private?
Jim Barnes: LAPD has been very forthcoming with Wrap. They actually call our team, usually Mike Rothans or Lee and let us know that they did Wrap and they give us kind of a verbal play by play. And then I can't tell you to-date that we've actually seen a body camera for them, but we have for many other departments.
Rich Abbe: Okay, great. Well, again, congratulations last year. I mean, you guys have really built something great here and I look forward to the future.
Jim Barnes: We're looking forward to the next call, we get to have together. It's we're moving in a good direction, so thank you.
Rich Abbe: This is great. Thank you.
David Norris: And operator, I would say that's a wrap.
Operator: So we aren't having any questions.
David Norris: I think we have one more question and then that was it.
Operator: Okay. Okay, got it. So our next question comes from Dennis Lavalle from Lantern. Your line is now open.
Dennis Lavalle: Yes. I thought you guys were ignoring me, but anyway, nice quarter. I appreciate that. Did I just hear you say about the Wrap that you haven't had any successful Wraps, but just the fact that it's out there, it has the escalated the situation or because I'm in my bomb shelter, I haven't hear it right.
David Norris: No, we've had a number of successful Wraps. We're just saying that even when they don't deploy the product and they just use the line laser that can also be considered successful by the officer of the command set. But yes, we've had a number of successful Wraps.
Dennis Lavalle: Well, that's what I thought. Anyway, can you give us some quantifiable utilization rate of place product in the field currently?
David Norris: Ask that one more – just say that one more time?
Dennis Lavalle: The utilization rate of the product place in the field, in other words, you have 180 agencies that have the product in the field now, of those have 10% of them used the device or is it too early to tell or compared to other non-lethal devices as the pepper spray bullets, et cetera, or rubber bullets, et cetera.
David Norris: I can't really give you an answer and in large part, it's because departments many times consider this a non-reportable use of force. So we don't always hear about it. So we don't know.
Dennis Lavalle: Okay. Very good
Tom Smith: I refer to the UK because there, they do mandate the tracking where the U.S. doesn't. So for us, it's a lot of the smaller agencies we may never hear from it or we hear it tangentially. It's usually the large ones that will be more directly communicating with us.
Dennis Lavalle: Okay. And then the UK information, is that online or you can get – do you have team?
David Norris: No. They publish that data online. If you search use of force that was published between the date of that use of force report from April of 2018 through March of 2019, so they'll actually be updating that again here in the next couple of months. But they actually, it's a 24 page document that goes through breaks down a number of different ways, how they use forces in their 43 agencies in England, Wales.
Dennis Lavalle: Okay. Very good. And of the 180 law enforcement agencies, you said something that shocked the hell out of me. Okay. And that is when the taser first came out, they maybe had to go back to the trunk of the car to get it, et cetera. Just a minute, wait, let me get my taser out so I can stop you from doing what you're doing. I mean, is that serious?
David Norris: Yes. Yes.
Dennis Lavalle: Are they doing the same thing, they're not doing that. I mean, they've learned from that and they're not doing that with the BolaWrap, are they?
David Norris: I wish I could say that they learned, but no, we still have some agencies doing that. So that's why we're focusing on holster carry options and making sure it's on the officer because like he's pointed out, there's not – they can't call a timeout and go back and get with the tool. So whether it was in the trunk or in the car, we need to make sure we're making it convenient to carry on the person.
Dennis Lavalle: Okay. And have you worked with I don’t know, a consultant or something to figure out where the hell they should put this on their body for ease of use and convenience?
Tom Smith: Yes, there's a number of companies that are specialized in manufacturing holsters for all different kinds of tools. So we're working with five or six different companies right now, including the departments are doing the same. So as an example, LAPD, they have their vendors that they prefer and have relationships with. So it's coming at it from a number of different aspects and ways to carry it. Be its leg holsters, on the vest, on the belt. So it's being looked at by us and by the end users.
Dennis Lavalle: Okay. Then my final question is of the 180 law enforcement agencies that you have placed product with, whether or not you gave it to them or they paid for it, what percent of those 180 agencies are putting line officers? How many are wasting the price? I shouldn't say that, but wasting the product by giving it to the SWAT or their superiors because it belongs in the line officer's hands to get the usage. That's my personal opinion, sort of law enforcement agency but can you give some color on that?
David Norris: Just cause there's some miscommunication on the first question. I want to make sure this one's clear. We have a number of holster options today. Every single one of those holster options is being used in the field. We're just continuing to refine that because our goals are obviously the same to put it on every belt of every officer and utilize it often. We don't know the actual number of that have it on their belt or not. Some departments leave it optional at the officer level. Some mandate that the officer carry it and they tell them exactly how and when they're going to carry it. So it's different for every department.
Tom Smith: And to answer your question on the 180, it's – I can't quantify that. I can tell you some of the departments, it's just their policy, internally that this SWAT team is going to test any new technology. And then other departments they'll go right to the line level guys. So obviously that's our push because that's the guys that are going to have the most benefit from this type of a remote restraint device. But it just really is going to depend on how the department handles it internally, their evaluation of any new technology.
Dennis Lavalle: Okay. Well, I guess, I understand that. I do and I don't if you know what I mean. But thank you for the hard work. You guys keep wrapping away.
David Norris: We'll do.
Jim Barnes: We'll keep wrapping because…
Dennis Lavalle: Okay. Thank you, guys.
Tom Smith: Product that’s in the great way to leave our mark on the world. So thank you.
David Norris: And again, we highly, highly, highly recommend, as hard as we can that they have it on the officers. So, but thank you for the questions and I think we'll turn it back to Justin, the operator.
Operator: At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Mr. Norris for his closing remarks.
David Norris: No actual closing remarks, so we can just go ahead and wrap it up. But thank you very much, operator.
Operator: Thank you. And thank you for joining us today for Wrap Technologies fourth quarter and full year 2019 conference call. You may all now disconnect.